Ikuko Hongou: Thank you very much for waiting. We will now start financial results briefing of KDDI Corporation for the third quarter of the fiscal year ending March 2021. Thank you very much for taking time out of your busy schedule to attend the meeting via the Internet. I am Hongou from IR department and will serve as the moderator. In order to prevent the spread of COVID-19, this briefing is distributed live online with Japanese-to-English simultaneous interpretation, and it will be distributed on-demand later on our IR website. We ask you for your understanding. Let me introduce the participants today. Shinichi Muramoto, Executive Vice President and Executive Director of Corporate Sector; Takashi Shoji, Executive Vice President and Executive Director of Personal Business; Keiichi Mori, Senior Managing Executive Officer and Executive Director of Solutions Business sector; Kazuyuki Yoshimura, Executive Officer and Executive Director of Technology sector; Nanae Saishoji, Executive Officer and General Manager of Corporate Management Division. Three financial results related materials, presentation, tanshin, and detailed materials and one TSE disclosure material, a total of four are posted on our IR website. Please refer to the disclaimer in the materials regarding the contents in these documents as well as performance targets and projected subscriber accounts in the Q&A session today. Muramoto will first explain the financial results followed by Q&A. Mr. Muramoto, please.
Shinichi Muramoto: Thank you very much for joining us in the KDDI meeting and the business results out of your busy schedules. Allow me to share with you financial results for the third quarter of the fiscal year ending March 2021. I would like to focus on four items. First, highlights of the financial results for the third – through the third quarter. Left-hand side, the consolidated operating revenues for the first through the third quarter were JPY 3,923.8 billion, up 0.5% year-on-year. Right-hand side, operating income was JPY 871 billion, up 3.2% year-on-year. Both operating revenues and operating income increased. Next, cumulative consolidated operating income from first through the third quarter was up JPY 27.2 billion. Let me explain factors behind it. From the left, Life Design domain, excluding Energy business and Business Services segment, which are growth field, significantly contributed with plus JPY 40 billion. Next, in Energy business. Cumulative results until the third quarter were up JPY 11 billion, yet from last December, the wholesale electricity market prices soured, which partially affected the business. The effect is felt in January as well but could be well absorbed in the consolidated results. We intend to achieve at the beginning of the term forecast steadily. Negative factors were: a decrease in mobile telecommunications revenue and an increase in strategic costs, including the promotion of 5G and smartphone settlements. Growth fields are driving the results. Next shows a progress in growth fields. Left, sales of life design domain for three quarters were cumulatively JPY 940 billion. The progress ratio for the full year target was 72.9%. Right-hand side, Business Services segment. Operating revenues for cumulative three quarters was JPY 722 billion. Progress ratio was 76.0%. It’s a steady progress towards targets set at the beginning of the fiscal year under midterm management plan. Next, on Personal Services segment. Left-hand side, au total ARPA revenues for three quarters cumulatively were JPY 1,721.5 billion. The progress ratio was 75.5%. Right-hand side, revenues of UQ mobile and MVNO, which have been integrated since October were JPY 70.2 billion for three cumulative quarters. The progress ratio was 78.0%. Both show a steady progress towards targets set at the beginning of the fiscal year. On January 13, we announced new plans to bring 5G for everyone. Here is a chart of new plans. With no complicated conditions for a discount, we aimed at simple and inexpensive lands catering to diverse needs for family or an individual. The left shows au, unlimited use without anxiety offering full service values with unlimited data, support and family discount. The center shows Poco, au’s new dedicated online brand, which is JPY 2,480 for 20 gigabytes. Depending on the customers' usage style, you can choose additional services and customize it freely. The right shows UQ mobile, where an individual customer can use a small-to mid-volume service carryover over-the-counter support at low prices. We will continue to work hard by adopting our customers' perspective to deliver exciting 5G for everyone. Now let me introduce toppings, a characteristic of Poco. Poco has a single basic charge. Customers can choose functions and services they like or they need as toppings. The right shows an example of toppings at the start of service. Here, JPY 500 per month is added for unlimited domestic phone calls of five minutes or less. By adding to JPY 200, you can get 24-hour unlimited data usage. We’ll be adding more topping services going forward. Simple and low price without discount conditions daily, weekly or monthly, you can out of remove services, you won’t add toppings. That’s a new experience we would like to deliver. From next week, starting on February 1, Monday, we are starting Poco early entry campaign. If you conclude a Poco contract, you receive JPY 3,000 equivalent in your au PAY account. We are looking forward to your participation. To boost our momentum, we make the strength of free prices and brands even more appealing, while actively promoting 5G. With au promoting 5G with set plans that allow you to use unlimited data without anxiety with Poco increase new contracts by differentiation with toppings and achieve high NPS by providing new experience. With UQ mobile, increase new contracts and promote data usage by renewing our carryover plans. As the ratio of UQ mobile and Poca account increases, mix telecommunications ARPU tends to decline going forward. Yet, we intend to increase new contracts and data usage and by strengthening our proposals for life design services in each brand, we aim to achieve sustainable growth Expanding the 5G area: The left shows the number of 5G base stations on the area deployment. Last December, we started offering 5G in all the prefectures. In March, it will be about base stations. In this spring, we plan to expand way line areas, covering all areas around the Tokyo Yamanote line and Osaka Loop line. In March 2022, we are planning to increase the number to about 50,000 base stations with 90% population coverage nationwide. The right shows the utilization of existing frequencies in 3.5 gigahertz per band. It has started since December. In 700-megahertz band, it is scheduled to begin in the spring. Using existing frequencies, we aim to build uninterrupted 5G network, accelerating the area expansion. Next about the sales of 5G devices. In December, it exceeded 1.2 million units. The sales of new iPhones rolled out in October have been brisk as well. We are promoting sales to achieve the target set at the beginning of the fiscal year. About the services in the 5G era. The left shows au 5G experience. With identifying functions, it checks the user status concerning the unlimited use and whether a user is in the 5G area, then automatically improve image quality. In addition, by collaborating with Netflix, Amazon and various other partners will offer a new set plan with unlimited use. We’ll announce the new set plan prices in March. Next is our initiatives in growth fields. This slide shows Business Services segment’s KPI, IoT connections, our initial forecast was 16 million connections, but we exceeded 16 million in December and achieved the target ahead of our initial forecast. Next is expansion of IoT. Left side shows connected cars, driving the growth of cumulative IoT connections. We are deploying global communication platform through our partnership with Toyota and expanding it to China, North America, Europe and Australia. We also promote our partnership with Mazda and Subaru, who are adopting it in their new models successively. Right side shows that smart meters are spreading not only to electricity, but also gas and water systems. Our partnership with Toyokeiki has made further progress in two years. We are also working with Eco-Mott on infectious disease control and jointly developing various services, including KDDI IoT cloud standard thermal camera package. Next is expansion of business fields. We signed a basic agreement with JR-EAST last December to aim for joint commercialization by integrating traffic and telecommunications. In addition to joint promotion of Core city, Shinagawa Development Project, we will study the development of satellite cities as distributed base and mobility service. Through pilot tests for bullet train workplaces, as shown on this slide, we will aim to realize rich human centric lifestyle and work style. Next, we will create new businesses with our partners in Japan and abroad and promote KDDI Accelerate 5.0. On the left side, KDDI DIGITAL GATE, our 5G and IoT business development base and corporate department base that supports DX and the new KDDI research atelier will collaborate as Toranomon Triangle and function as the fora for open innovation. Right side, in KDDI research atelier, we will propose new lifestyles as development base for applied R&D and build communities for sharing and discussion to disseminate our initiatives. Next is life design domain’s KPI. Left side, transaction volume of settlement and loan is growing strongly and reached JPY 6.5 trillion, up 40% year-on-year. Right side, number of our au PAY card, credit card, reached 6.1 million and is also growing favorably. Next is the status of cashless payment via the smartphone as the important customer touch point. Left side shows the number of points and settlements participating stores. It exceeded 3.55 million in December last year, doubling the number from the previous year. Touch points available for payments are expanding rapidly. Right side, au PAY and Ponta collaboration is progressing as well. In December last year, au PAY was installed in digital Ponta Cards. This allows customers to settle their transactions without opening their au PAY app and is improving customer convenience. Also, starting this month, au PAY is installed in Lawson app. We will work to improve our services to make it easier for customers to use. Next is our initiative to leverage the customer touch point enhanced through smartphone settlement and drive the usage of our financial services. Left side, we will launch the first service in Japan that reduces mortgage interest rate when used in combination with au mobile, called mortgage au mobile preferential discount on March 1. In the middle, au PAY Gold Card privilege is enhanced to make it easier for users to collect Ponta points by using au communication services and au-related service. Right side, au Kabucom Securities launched investment by points in September last year, where users can start investment trust with Ponta points. We will grow the number of au PAY users and expand the usage by making various financial services more attractive. Lastly, let me introduce some initiatives in non-financial areas. Transformation into a human resources first company. Left side, last July, we introduced a new HR system to realize a work style where employees can generate outcome regardless of time or place. We are promoting declaration of KDDI New Workstyle, KDDI version of job style personnel system and internal DX as a unified three-part reform. Right side, we reduced KDDI Head office seats by 40% vis-à-vis our headcount in December last year to optimize our office space. For example, we addressed the challenge of the lack of communication among employees due to prolonged teleworking and set up one-on-one meeting spaces. Furthermore, we distributed PCs based on the Zero Trust concept to all employees to realize a hybrid workplace combining teleworking and commuting. Next is regional revitalization. Left side shows the regional revitalization project pursued by KDDI called Te to Te. We are forming partnerships with regions in HR development, DX promotion and fund utilization to establish a sustainable business model. Right side shows our major initiatives in the third quarter. We collaborated with local governments, educational institutions, various groups and companies throughout Japan. In particular, we worked on regional revitalization using 5G and culture and art creation projects in third quarter. Lastly, this is today’s summary. We will aim for business growth by promoting 5G and growth fields. In consolidated financial results and medium-term targets, performance in growth fields drove our third quarter results and growth fields progressed steadily towards our medium-term management plan targets. In business strategies, we are responding to a wide range of customer needs with a new rate plan and appealing the strength of our three brands, while actively promoting 5G. We achieved target for cumulative total IoT connections ahead of initial forecast, and we are aiming to expand usage by making various services attractive in financial services and promoting DX together with customers and communities and contributing to the sustainable growth of society. Thank you very much for your kind attention.
A - Ikuko Hongou: Now we would like to entertain your questions so that we can address as many people as possible and your questions. [Operator Instructions] The first question. Daiwa Securities, Mr. Ando. [Operator Instructions]
Yoshio Ando: Yes. Two questions, please. First, cutting the prices, what’s the impact of lowering the prices? Could you share with us the direction, please? Mixed ARPU is likely to decline, as you said in your presentation. With the increase of accounts, do you think that will cover this up? If cost reduction is necessary, in what areas major cost reduction is possible? Could you please share with me the general direction?
Shinichi Muramoto: Thank you for your question. First, the impact of lowering the prices, the increase of accounts, cost reduction initiatives. Well, then, I will just share with you the overall things and the Shoji will give you some follow-up explanation. As you said, naturally, after lowering the prices, a certain level of impact will be held – felt in the revenues. We are studying the next fiscal year plans internally what will be the impact of lowering the prices. But this is what I would like to share with you first. Sustainable growth, it’s something we have in particular about. So in principle, going forward, we would like to grow sustainably. In that sense, how best we can expand IDs with these competitive three brands. We must do a good job there and also, as we shared with you, in the growth field Life Design Business Services segment, with growth, we need to drive growth, to drive sustainable growth. As for the cost reduction, yes, it was mentioned. In the midterm plan, about JPY 100 billion equivalent cost reduction is what we intend to do thoroughly. In the next fiscal year, it’s likely to contribute to the performance. Going beyond that – we would like to go even beyond that. As for specifics, for instance, as was mentioned today, consolidation of office areas that’s one, cost reduction area and also sales channels are likely to change significantly, reviewing the sales and marketing cost is another thing that we would like to do rather broadly. About the IDs, Shoji will answer – address your question.
Takashi Shoji: Shoji speaking. Some supplementary information. As Muramoto said, that’s almost everything that we wanted to say. But this time, au, UQ we’re going to reorganize the lineup. We believe that we reorganize lineup making it simple. About UQ prices, 15, 25 giga, you can see that it’s higher in capacity and the price is lower. And also for UQ, carryover is possible. Carryover is another characteristic. We believe that this is kind of a weapon. For Poco, the new online brand, which has been established with very simple 20 giga, a JPY 2,480 with toppings, as you already know. For the first time, we’re going to do this. We would like to come up with various ideas so that customers will be really happy with these products. As for AU, as you already know, 4G, JPY 1,000; 5G, JPY 2,000, price reduction has been conducted, especially the high volume, unlimited use of data. If a family of three used this together with smart value, JPY 4,480, that’s the level we are talking about. Good for up-selling, easy for people to use this for – looking at the segments and customers, we would like to enhance our capability to acquire customers. And also, we would like to seek up-selling to higher-priced products. If it’s just a simple mix up, it might decline in total, but ID expansion and with up-selling, we would like to grow sustainably. Thank you.
Yoshio Ando: My second question. Together with those, in growth fields, growing growth fields even more. I think that’s what I hear pretty often these days. As for my question, in these two months or so, any changes in your initiatives or efforts? Or depending on the areas, I think environment might have changed somewhat. Any signs of new changes or any changes in the overall direction? For instance, in corporate or in other major areas, finance, financial settlements or power, electricity. By area, by area, if you could just address my question, please?
Shinichi Muramoto: About Life Design field, Shoji; and about the Business Services growth fields, Mori, will address your questions.
Takashi Shoji: First of all, about life design fields. Allow me to explain about life design as Muramoto said in the presentation, including financial businesses, especially financial business and electricity, it has enjoyed a steady growth. We come up with a new rate plan, au, UQ, Poco accounts. We would like to increase them. We believe that it can increase. And life design services can be combined appropriately. That’s exactly what we have been doing. And it’s functioning very well, I believe. au PAY card, if just you look at the actual each year 0.9 million to 1 million increase per year financial transactions volume, JPY 6.5 trillion, if you look at the substance. Of course, number of settlements has increased. That’s one. But Jibun Bank mortgage loan, housing loan. If you look at the disbursement, it’s higher than JPY 1 trillion in terms of disbursement. So mortgage loans have been doing very well. On the au side, telecommunications products, life design products, organic manner, they function really well together. And on top of that, not just au customers, for UQ customers for – they can use our life design products. It’s convenient for the customers, I believe. So there’s still more room for growth and expansion, including the sales, the life design products should be enhanced more. So I hope you will keep your expectations high. Ando-san, are you satisfied? Now from Mori, please.
Keiichi Mori: For corporate, the businesses – business services. For instance, look at IoT. In the first half of the year partly because of the COVID-19, not just here in Japan, but in the world over, IoT, DX, the pace had slowed somewhat. We had certain plans in the middle of the second quarter from the summer, almost on track – some were delayed, but almost on the plan the customer number has been on the increase. If you look at connected cars, just as an example, more manufacturers are supported by us and expanding those to Australia and Europe. And in the third quarter, as always, it’s increasing in a full-fledged manner. And the remote working and area that’s related to work style, first, mobile saw some increase. But then office and outside, more and more people work, combining different places. So not just mobile communications, but fixed-line communications needs to be made easier to use with higher bandwidth. So that’s another area we can expect to see some increase.
Ikuko Hongou: Thank you very much. Thank you, Mr. Ando. Next question, Nomura Securities, Mr. Masuno, please.
Daisaku Masuno: This is Masuno from the Nomura Securities. My first question is on Page 4. The results of the profit increase and decrease. So here, the growth fields Life Design and Business Services segment are the increase in profit. So compared to the plan, especially business profit increase is large. The businesses that are driving the profit, what are they? And in others, you see a negative, it’s a decline. You mentioned that in sales promotion, settlement and other areas, sales promotion is one factor. So these others, could you elaborate what you are doing in more specific terms?
Shinichi Muramoto: Thank you very much. So the business, which is very strong, will be explained by Mori-san. Mr. Mori, please.
Keiichi Mori: So we originally had a growth plan, but the demand is stronger than we expected for Telework. So in mobile, mobile was stronger than expected, and the profit grew more than anticipated. In addition, our group company, our subsidiary, a subsidiary that does business for small- and medium-sized enterprises. In the call centers, a subsidiary that this call center business are growing very strongly, so this drove our profit upward.
Shinichi Muramoto: So I will explain the others part where profit declined. As mentioned earlier, the biggest factor was the strategic cost, various campaigns were launched very aggressively. And depreciation costs, as you can see in these numbers is increasing slightly. In the third quarter – starting from third quarter, we posted some liabilities. This is in October 2018, we announced the migration of 3G and so in order to – we had the liabilities of – this is a provision. But we had to reevaluate this liability. So starting this quarter, we included that. So that is the additional portion here. And the handset device sales in third quarter was strong. So this incurred some costs. Last year, because of the revision in the business law, the handset device sales cost was lower. But this time, a new iPhone was launched in October, which is selling very well. So that was 1 factor. Does this answer your question?
Daisaku Masuno: My second question is the three brands price decline, price cut, we conduct very simulation, setting the numbers aside, I want to ask you about how you led to this point? So au brand, unlimited brand, price cut will have small impact, we think. But UQ and Poco impact will be large, we think. On the other hand, as you mentioned, the net addition will be captured in UQ and Poco, I think you can capture net addition, net subscriber addition. And I think this can offset the decline in revenue. So I think that is the overall structure. UQ and Poco – move from au, do you expect more au move to UQ and Poco and the additions? I think you can capture additional subscribers, but do you see any problem or obstacle to that? If you could elaborate, please?
Shinichi Muramoto: Thank you. Shoji will explain
Takashi Shoji: Yes, let me explain. So what you just mentioned is correct. You are right. But you’re right. But this service has not started yet. And from February onward, UQ will start its service. And in March and April, we will start the service on a more full scale. So we want to keep watching the market closely. And as you correctly mentioned, UQ and Poco have attractive prices and services so users from au, I think there will be a certain level of au customers moving to Poco and UQ. On the other hand, in December last year, UQ mobile was integrated to KDDI. And since then, from UQ mobile to au, users who move from UQ mobile to au has grown by 3.7 times, and this pace has not decelerated. And those who moved to au, most of them use Data MAX and the unlimited use plan, the unlimited use MAX. So of course, as you mentioned, UQ and Poco this mid-volume – middle volume is the main battlefield in the market. So we want to win in this main battle field with Poco and UQ. And those who do not think the data is enough, will come to au. Au has the unlimited use next, and the price there has lowered, has declined, reduced significantly. So I think this will be attractive. So the mixed ARPU is lower, but we want to combine our measures and make it easier for our users to use. We’re making our best effort to achieve the sustainable growth.
Ikuko Hongou: Next question, please. UBS Securities, Mr. Takahashi.
Kei Takahashi: Takahashi. I have two questions. First, about the growth fields. This term, regarding the plan, as I look at your fourth quarter plan, Life Design Business Services income seems to come down. Did you assume certain special factors? Could you address that question? And towards the next term, next fiscal year, in the Business Services, you said that you were just – it couldn’t be better, but against this year’s plan, it’s about the flat. Life Design, the profit is increasing steadily towards the next fiscal year. The rate of growth is going to accelerate in your opinion? Could you address that question, please?
Shinichi Muramoto: Thank you for your question. About Life Design and Business Services on each fourth quarter compared with what’s externally communicated in the fourth quarter, it doesn’t look very profitable. How do we see it? And also the next term, what’s the picture – overall picture we have can you address that? Shoji-san, Mori-san address the questions, please.
Takashi Shoji: Let’s see. Excuse me, which numbers were you actually referring into, I’m not sure. Totally speaking, at the third quarter, it’s higher than the plan in terms of the progress. As I said before, about the Energy business in December, about JPY 4 billion impact was felt. In January, I think it’s likely to have a negative impact. But as you already know, in this week also, in the wholesale electricity market numbers have become common, the consolidated business results, we believe that it – that negative factor is absorbed in counters, finance, commerce. We are doing very well towards achieving the target we would like to double down on them. About the next is year is same, you don’t have to be concerned so much on Life Design. Mr. Mori?
Keiichi Mori: About the fourth quarter plan on a continued basis as the growth base, it’s pretty robust. But next term and for further growth, aggressive initiatives will be conducted. We would like to also spend some cost that’s why we have this plan. Next term and onwards, with COVID-19, there were some positive effects. That positive momentum is likely to slow down a little by little. But on the other hand, for digitalization of business, that shift or direction or the changing of the work style, that direction, I believe that society has been transformed towards the new normal society. Our digital solutions communications can be used. And we would like to launch them in an accelerated manner so that we can enjoy further growth. Thank you.
Shinichi Muramoto: About the fourth quarter income, a little more additional comments. As you already know, probably by quarter income structure, in principle, the fourth quarter, each year, it tends to be slower or smaller. That’s the past record. In the spring campaign, that’s one of the reasons. And for the future growth, we have to be prepared and make preparations so that entails spending some cost. And that’s why you might get that impression. About the Personal Services, as was mentioned in the presentation, in the Energy business, that was a bit unexpected. Negative factor was felt in the fourth quarter, yes, that has a negative factor on the fourth quarter income. About the Business Services, as Mori said, I hope that it’s going to be better than the plan. By doing what we should do for the next term, we would like to do better than that. On the consolidated basis, we would like to make sure we can clear what we have already communicated to the external community.
Kei Takahashi: About my second question. In the midterm business plan, cost reduction, JPY 100 billion target. I have a question about this. As you already answered, previously, more than 50% of the time for the midterm plan already passed. Regarding the current progress vis-à-vis this JPY 100 billion, how much has been achieved?
Shinichi Muramoto: Let’s see. It’s almost cleared. But most of them will become clear – clearer in the next business year. Did this answer your question?
Kei Takahashi: About JPY 100 billion, you think you are comfortable. But regarding the specific numbers, the majority will be manifested in the next business term?
Shinichi Muramoto: That’s correct.
Ikuko Hongou: Thank you very much, Mr. Takahashi. Next question. Mitsubishi UFJ, Morgan Stanley Securities, Mr. Tanaka.
Hideaki Tanaka: This is Tanaka speaking. Can you hear me?
Ikuko Hongou: Yes.
Hideaki Tanaka: I have two questions. First question is related to question earlier. So this manifestation of JPY 100 billion in next year, this will be from this year to next year? Profit increase from this JPY 100 billion cost cut is already within site?
Shinichi Muramoto: I cannot mention the detail, but a JPY 100 billion will not – it will be the entire JPY 100 billion from cost cut. It will be mostly next year, but there are some this year, too. Some portion is realized this year, too.
Hideaki Tanaka: So it’s not a full profit increase of JPY 100 billion, but mostly, maybe JPY 80 billion or JPY 70 billion will be the cost cut factor, contribution from cost cuts, and you have a good prospect for that?
Shinichi Muramoto: Yes. I want you to guess that.
Hideaki Tanaka: Second question, this time, energy, electricity business was JPY 4 billion negative in January, we’ll be at that level again? So electricity, power, I’m not well versed with this area. But from February onward, it will not be negative? You will not incur a loss? I think you will try to extend your contract going forward. So the profit margin will be smaller going forward? Your power contract, profit will be difficult going forward? Or you don’t have to worry about the loss at all? So if you could elaborate on the structure, rough structure?
Shinichi Muramoto: Yes. Thank you for the question. So Energy business will be explained by Mr. Shoji.
Takashi Shoji: Yes, let me respond. This energy power is a bit complex. So we are doing this as the PPS, including au Denki, we do retail business to au users, au customers. And this number has become sizable now. So how we procure our energy? The energy cost increased this time has not impacted KDDI this time. So which part was impacted? Energy is procured by our consolidated subsidiary ENERES. They procure the energy, but ENERES GPS from the wholesale market, they are not procuring entirely. They are looking at the risk and balancing the supply and demand. And part of that the wholesale power market, demand was strong. And according to what I heard, as was mentioned in newspaper, LNG supply became tight and so the electricity power company supply was impacted. And so the supply side was in short. So this wholesale power market started from 2016. Something that never happened in the past four years, the transaction price surge occurred from December, late December. So but the government, ministry in charge is now involved in trying to address this. So the wholesale power market, selling and buying prices now settled. But the way we procure the energy is not just that. We also have bilateral transaction and KDDI and EPC, electric power companies and our customers, we sell on behalf of our customers. So various formats are combined to sell power to our customers. So will this happen again? The wholesale power market, we cannot rule the possibility that this happens again. So we have to avoid volatility. So bilateral power source transaction will be increased. We will try to realign, rearrange our portfolio to reduce the volatility going forward. And from next month and March and next year, we will do this to minimize our risk. Does this answer your question?
Hideaki Tanaka: Yes. I understand well.
Ikuko Hongou: We are running out of time. So the next question will be the last question. Next question, SMBC Nikko Securities, Kikuchi-san.
Satoru Kikuchi: Kikuchi speaking. I’ll limit my question to just one. About life design, they have – it has enjoyed robust growth. It’s very positive, I think. For increased income, services are contributing to them. But in terms of the biggest contribution, what is the order or the ranking in this fiscal year? And as for the next fiscal year, do you think that order will not change? Next fiscal year, communications revenues cannot be expected to increase so much. So in the next fiscal year to forecast your company growth, which will be the drivers?
Shinichi Muramoto: Thank you for your question. You asked me the order of the contribution to income. I cannot share with you the specifics. But until the third quarter, on a cumulative basis in life design, financial settlements to increase the income that contributed most. Smart Pass, content-related areas and energy. Their contribution is about comparable, about the same. As for the next fiscal year, it’s not really about the banking. We would like to grow each of them. Please expect some good results.
Satoru Kikuchi: About the financial settlements, au PAY is enjoying growth, but what about the sales promotion cost? I think you are spending some cost. In financial transact settlement, you are doing housing loan mortgage loan as well. And financial settlements cover many things, I think. Could you give us a breakdown? And also what about the cost for each?
Shinichi Muramoto: Let’s see. More recently, what’s going up? Credit cards, as I said in the presentation, year-on-year, members increased more than 17%. So that’s pretty significant. And carrier settlements, so-called settlements, simple settlements. There have been also brisk. And as Shoji said, au Jibun Bank, mortgage loans, housing loans are doing very well. They are going up very significantly. As for cost, this life design field and consumer business to a certain extent, we do see some allocation and manage them. So this is not the only area where the cost is incurred. That’s all I can say. I hope this answers your question. Thank you.
Ikuko Hongou: Thank you very much, Mr. Kikuchi. So we just answered the last question. So with that, we would like to close our financial results briefing for KDDI Corporation for the third quarter of the fiscal year ending March 2021. Thank you very much for your attendance today.